Operator: Welcome to ManpowerGroup Third Quarter Earnings Results Conference Call. At this time all participants are in a listen-only mode until the Q&A session of today’s conference. This call will be recorded. If you have any objections, please disconnect at this time. And now, I will turn the call over to ManpowerGroup, Chairman and CEO, Jonas Prising. Sir, you may begin.
Jonas Prising: Good morning. Welcome to the third quarter conference call for 2020. On the call with me today is our Chief Financial Officer, Jack McGinnis. For your convenience, we have included our prepared remarks within the Investor Relations section of our Web site at manpowergroup.com. We will start by going through some of the highlights of the third quarter, then Jack will go through the operating results and the segments, our balance sheet and cash flow, and guidance for the fourth quarter. I will then share some concluding thoughts before we start our Q&A session. Before we proceed, Jack will now cover the Safe Harbor language.
Jack McGinnis: Good morning, everyone. This conference call includes forward-looking statements, including statements regarding the impact of the COVID-19 pandemic, which are subject to known and unknown risks and uncertainties. These statements are based on management’s current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. We assume no obligation to update or revise any forward-looking statements. Slide 2 of our earnings release presentation includes additional forward-looking statement considerations and important information regarding previous SEC filings and reconciliation of non-GAAP measures.
Jonas Prising: Thanks, Jack. Since our last earnings call in July, much has happened in the world and I'm pleased to say we see the early shoots of a global recovery taking hold during the third quarter, and our results reflect a stronger market environment than we anticipated a few months ago. As a result of the COVID-19 pandemic, we are seeing some of the fastest changes to the global economy with industries like retail, hospitality, and aviation, previously more resilient than others, impacted in ways never seen before. Other industries such as tech, e-commerce and logistics are benefitting from new ways of working and new consumer preferences. At the same time, job protection initiatives have been implemented worldwide and have helped support jobs, livelihoods and households. Around the world, governments are mindful of the need to bring confidence back while also managing pressures on health and social services. As a result of the learnings from the first waves of the pandemic, we do not anticipate a repeat of the widescale and sudden shutdowns that we saw in the first phase. However, recent increases in COVID-19 cases in many parts of the world will force countries to implement new restrictions to mitigate the spread of COVID-19, this time more targeted and localized than prior lockdowns. These factors will make the recovery uneven and our experienced management team is prepared to confidently manage the volatility as circumstances dictate. In fact, we are leveraging the opportunity in this rapidly changing environment to reaffirm our commitment to our strategy of growth through diversification, digitization, and innovation and are continuing to fund investments in these areas. At the same time, we continue to exercise cost controls and drive further efficiency through restructuring actions. We are also continuing to adjust our geographic footprint. We are proud of our transformative shift during this crisis and are now even more ambitious about the speed of our future transformation given the lessons we have learned during the pandemic. In the third quarter, revenue was $4.6 billion, down 14.5% year-over-year in constant currency. On a same day organic basis, our underlying constant currency revenue decreased 15%, a significant improvement from the 27% decline in the second quarter on the same basis. On a reported basis, we recorded an operating profit for the quarter of $62 million. Excluding restructuring charges and a special item consisting of impacts from divesting select small country operations, operating profit was $117 million, down 38% in constant currency, excluding the prior year special item. Reported operating profit margin was 1.3%, down 280 basis points from the prior year and, after excluding the restructuring and other special items, operating profit margin was 2.6%, down 100 basis points from the prior year. Reported earnings per diluted share of $0.18 reflects the impact of restructuring charges, the loss on dispositions and a discrete tax item. Excluding the restructuring and other special items, our earnings per diluted share was $1.20 for the quarter representing a decrease of 39% in constant currency. Based on the many conversations I am having with our clients and insights from our thought leadership and proprietary data I will take a few minutes to share my perspective on what is happening in the labor markets right now and as we look ahead in the near term. Earlier this year we asked more than 30,000 employers across 40+ countries when they predicted hiring would return to pre-pandemic levels. At that point, most were anticipating a sharp shock and swift return to normal, the V shaped recovery. The same survey we conducted 3 months later shows that 60% now think it will take even longer, towards the end of 2021, the much talked about U shaped recovery. With our global perspective across industries, we see more of a two-speed recovery; some industries and in-demand roles bouncing back faster than others like technology, some manufacturing, professional services and construction; while others including aviation, travel and hospitality impacted for the medium to long-term. For example, we are seeing manufacturing ramp up again yet shipping and ports still causing a lag, and in light manufacturing, especially related to healthcare and PPE products, demand for staff is at a peak. In retail we would be usually expecting the traditional seasonal holiday demand, but with restrictions and shutdowns, retailers are taking a “wait and see” approach to shopper behavior this season. Our logistics clients plan to grow as e-commerce retail growth continues at pace and the demand for cyber security, data analysts and cloud-native software developers is consistently high. Looking at labor demand, we believe we’ll see a two-speed recovery also here, with the higher skilled workforce recovering quicker than the lower and unskilled workforce, exacerbated by the impact of COVID-19 pandemic has had on some industries that employ lower skilled service workers. We are seeing an accelerated pace of transformation and the trends we have anticipated for some time are happening at a scale and speed we might not have previously thought possible. Clients in all industries are continuing to deal with this current crisis, responding right now to shifting demand and challenging supply chains, together with technology transformation at rates they were not prepared for, all while planning for 2021. We believe employers will look for operational and strategic flexibility in an uneven economic recovery, and that policy makers will be focused on measures encouraging jobs markets to rebound as quickly as possible. In this current climate especially, we are confident that our strategy of digitization, diversification and innovation is the right one. Our investment to grow Experis, our professional resourcing and IT expertise sets us up for even stronger growth following the pandemic as companies continue to accelerate technology investments. Talent Solutions, the brand we launched in January combining our higher value, global market-leading offerings; RPO, Right Management and TAPFIN MSP continues to help clients with customized workforce solutions in this downturn while preparing them for future growth. We are proud of our global leadership in this space. In August our TAPFIN MSP offering was the only company in our industry to be recognized by Everest Group as both a Star Performer and Global Leader in its Contingent Workforce Management Index, scoring highly for vision, strategy and innovation. This impressive accolade also recognizes TAPFIN's analytics platform IntelliReach, part of ManpowerGroup's best-in-class tech stack PowerSuite, which offers advanced data analytics and benchmarking to provide clients with talent attraction, retention and development for both contingent and permanent talent. Our Manpower brand’s market leading footprint will enable many organizations to leverage operational and strategic workforce flexibility as they navigate the short and long-term effects of the pandemic. We are also continuing to make good progress in our technology roadmap and the scaling at speed of our Top Down and Bottom Up Innovation initiatives. One of our main innovation initiatives is our MyPath program which is now scaling to 14 markets this year and next across both our Manpower and Experis brands. The data and learnings to date on how to identify adjacent skills, assess, coach and upskill have allowed us to shift and reskill people at speed from declining to high demand sectors during this pandemic. We have also upskilled more than 2000 of our own Talent Agents to be expert in assessment and data-driven recruitment and continue to improve on reassignment rates, improved utilization rates and increased satisfaction levels with those clients and candidates that engage in MyPath. We also continue to invest in our Center of Excellence in People Analytics and Assessment, led by our Chief Talent and Data Scientist and a 40+ strong global innovation team. We are accelerating the deepening, widening and refining of our proprietary data. We know data on its own does not bring value. We also know that our vast access to people, workers, clients and jobs together with our aggregate data around interactions, experiences and outputs combined with our meaningful interpretations are what create the insights and actions that can bring data-driven changes in behavior. This is how we are accelerating our progress around AI-driven recruitment and skilling up, to ensure our recruiters can use data-based decision-making for the best match, to help clients better predict performance and to support our candidates by knowing more about their skills and potential. I would now like to turn it over to Jack to take you through the financials and country performance details.
Jack McGinnis: Thanks, Jonas. Revenues in the third quarter came in above our constant currency guidance range. Our gross profit margin also came in above our guidance range. On a reported basis, our operating profit was $62 million. Excluding special items consisting of restructuring charges and a loss on dispositions, our operating profit was $117 million, representing a decline of 37%, or a decline of 38% on a constant currency basis. This resulted in an operating profit margin of 2.6% before restructuring charges and other special items, which was above the high-end of our guidance. I will cover the restructuring charges and the dispositions in more detail by segment. Breaking our revenue trend down into a bit more detail, after adjusting for the positive impact of currency of about 2%, our constant currency revenue declined 14.5%. The impact of acquisitions and billing days were minor resulting in an organic days adjusted revenue decrease of 15%. This represented a significant improvement from the second quarter revenue decline of 27% on a similar basis. This also represents five consecutive months of improvement beginning in May when governments began lifting country-wide lock-down requirements. On a reported basis, earnings per share was $0.18, which included the restructuring charges of $50 million which represented a negative $0.72, certain discrete tax charges of $12 million and a loss from dispositions of $6 million which combined had a $0.30 negative impact. Excluding the restructuring and other special items, earnings per share was $1.20, which exceeded our guidance range. Included within this result was improved operational performance of $0.47, $0.03 on better than expected foreign currency exchange rates before restructuring and other special items, $0.04 on an improved effective tax rate and $0.03 on improved interest and other expenses. Looking at our gross profit margin in detail, our gross margin came in at 15.8%. Underlying staffing margin contributed to a 20 basis points reduction and a lower contribution from permanent recruitment contributed to a 30 basis point reduction. This was offset by 20 basis points of increased gross profit margin from career transition growth within Right Management. Other and accrual adjustments include about 20 basis points of favorable direct cost adjustments in France partially offset by decreased margin in our Proservia managed services business. Next, I’ll review our gross profit by business line. During the quarter, the Manpower brand comprised 65% of gross profit, our Experis professional business comprised 20%, and Talent Solutions brand comprised 15%. During the quarter, our Manpower brand reported an organic constant currency gross profit decrease of 17%. This was a significant improvement from the 37% decline in the second quarter. Gross profit in our Experis brand declined 19% year-over-year during the quarter on an organic constant currency basis which represented a slight improvement from the 20% decline in the second quarter. Although Experis revenues were only down in the very low double digits percentage range during the quarter, the lower contribution from perm gross profit combined with a higher mix shift to enterprise clients and lower utilization of consultants within our Germany IT end user support business drove a more significant gross profit decline. Talent Solutions includes our global market leading RPO, MSP and Right Management offerings. Organic gross profit growth in the quarter decreased 2% in constant currency year-over-year which is a significant improvement from the 12% decline in the second quarter. This was primarily driven by our career transition activity within our Right Management business which increased double-digit percentages year-over-year during the quarter and our MSP business which grew mid-single digit percentages while our RPO business improved the rate of revenue decline significantly during the third quarter from the second quarter trend. Our reported SG&A expense in the quarter was $664 million including the restructuring charges of $50 million and the loss on dispositions of $6 million. Excluding the special items, SG&A of $608 million represented a decrease of $46 million from the prior year after excluding the prior year gain on the China IPO. This underlying decrease was driven by $60 million of operational cost reductions offset by an increase of $12 million from currency changes and $2 million from acquisitions. On an organic constant currency basis, excluding special items, SG&A expenses decreased 9% year-over-year. SG&A expenses as a percentage of revenue in the quarter represented 13.3%, excluding restructuring and other special items, which continued to reflect the significant deleveraging on the material drop in revenues year-over-year. As a result of strong cost management actions across all of our businesses, the impact of the revenue and gross profit declines was significantly offset by SG&A decreases. The Americas segment comprised 20% of consolidated revenue. Revenue in the quarter was $929 million, a decrease of 11% in constant currency. Including restructuring costs, OUP equaled $32 million and OUP margin was 3.4%. Excluding restructuring costs, OUP was $48 million and OUP margin was 5.2%. Of the $17 million of restructuring costs, $15 million related to the U.S. primarily representing the closure of real estate as we eliminate fixed costs based on accelerated digitization activities. The balance of the restructuring costs related to Canada and were real estate related. The U.S. is the largest country in the Americas segment, comprising 62% of segment revenues. Revenue in the U.S. was $579 million, representing a decrease of 13% compared to the prior year. Adjusting for billing days and franchise acquisitions, this represented a 16% decrease which is an improvement from the 23% decline in the second quarter. During the quarter, OUP for our U.S. business decreased 14% to $34 million, excluding restructuring charges. OUP margin was 5.9%, excluding restructuring charges, and reflected the benefit of higher margin career transition activity within Right Management. Within the U.S., the Manpower brand comprised 33% of gross profit during the quarter. Revenue for the Manpower brand in the U.S. was down 21% when adjusted for days and franchise acquisitions. The Experis brand in the U.S. comprised 30% of gross profit in the quarter. Within Experis in the U.S., IT skills comprise approximately 80% of revenues. Revenues within our IT vertical within Experis U.S. declined 15% during the quarter and total Experis U.S. revenues declined 16.5% as the Finance and Engineering verticals experienced more significant decreases. Talent Solutions in the U.S. contributed 37% of gross profit and experienced revenue growth of 7% in the quarter. Within Right Management in the U.S., revenues increased 30% year-over-year driven by significant career transition activity during the quarter. The U.S. MSP business continues to perform very well in the current environment and again experienced year-over-year increased revenues during the third quarter. The U.S. RPO business experienced a significant improvement in the rate of revenue decline during the third quarter moving to low double-digit declines in the third quarter and also recently added new RPO clients which we expect will drive further improvement in future periods. Provided there are no significant reversals of reopening activity across the U.S., in the fourth quarter we expect ongoing improvement and an overall rate of decline in the U.S. of -8% to -13%. Our Mexico operation experienced a revenue decline of 9% in constant currency in the quarter representing a slight improvement from the 10% decline in the second quarter. The business environment in Mexico continues to be challenging as a result of the COVID-19 crisis. Revenue in Canada declined 10% in constant currency during the quarter. Adjusting for billing days, this represented a 11% decrease which was a further decrease from the second quarter and reflected the exit of certain lower margin enterprise clients during the quarter. Revenue in the other countries within Americas declined 6% in constant currency. Southern Europe revenue comprised 46% of consolidated revenue in the quarter. Revenue in Southern Europe came in at $2.1 billion, a decrease of 15% in constant currency. This is a significant improvement from the second quarter trend driven by France and Italy. OUP including restructuring costs and the loss on dispositions equaled $72 million. Excluding restructuring costs and the loss on dispositions, OUP decreased 30% from the prior year in constant currency and OUP margin was down 90 basis points. The dispositions represent the sale of our Serbia, Slovenia, Bulgaria and Croatia businesses to a franchisee which should be beneficial for the profit margin of the region going forward. Of the $8 million of restructuring costs in the region, just under half relates to Spain for real estate optimization and streamlining of operations, about a quarter relates to Italy for real estate optimization, about 20% relates to Switzerland for real estate optimization and the small remaining balance related to streamlining in other Southern Europe countries. France revenue comprised 57% of the Southern Europe segment in the quarter and was down 17% from the prior year in constant currency. This reflects a progressive improvement over the course of the quarter. OUP was $51 million in the quarter and OUP margin represented 4.3%. As I mentioned earlier, France benefited from direct cost accrual adjustments in the quarter which improved their OUP by approximately $10 million. Although improvement has been steady in France, the rate of improvement in the revenue trend has slowed in recent weeks. We are cautiously estimating a gradual improvement in the rate of decline for the fourth quarter of between -10% to -15% on a constant currency basis. Revenue in Italy equaled $351 million in the quarter representing a decrease of 12% in constant currency after adjusting for billing days. This reflects a progressive improvement over the course of the quarter. Excluding restructuring charges, OUP declined 29% year-over-year in constant currency to $17 million and OUP margin decreased 130 basis points to 4.9%. We estimate that Italy will continue to see gradual improvement in the rate of revenue decline during the fourth quarter with a decline within a range of -7% to -12%. Revenue in Spain decreased 6% on a days-adjusted constant currency basis from the prior year in the quarter. his represents a significant improvement from the 13% decrease in the second quarter. Revenue in Switzerland decreased 13% on a days-adjusted constant currency basis from the prior year in the quarter. This represents a significant improvement from the 19% decrease in the second quarter. Our market leading Swiss business has been performing well in a challenging environment. Our Northern Europe segment comprised 21% of consolidated revenue in the quarter. Revenue declined 22% in constant currency to $948 million. OUP including restructuring costs represented a loss of $23 million. Excluding restructuring costs, OUP was $2 million and OUP margin was 20 basis points. Of the $24 million of restructuring costs, 2/3rds relates to Germany where we have streamlined our operations, notably within our Proservia business, and have taken additional actions to reduce finance and shared services back office costs, about a quarter related to the Netherlands where we have streamlined our operations, and the balance relates to the U.K. and Sweden where we have also streamlined operations. Our largest market in the Northern Europe segment is the U.K., which represented 34% of segment revenue in the quarter. During the quarter, U.K. revenues decreased 22% in constant currency which was unchanged from the second quarter trend. We are cautious in our outlook for the U.K. business and estimate a slight improvement in the rate of revenue decline in the fourth quarter. In Germany, revenues declined 32% on a constant currency adjusted for billing days basis in the third quarter which was unchanged from the second quarter trend. The restructuring actions we took in the third quarter will improve the profitability of this business in future periods. We remain very cautious on our Germany business in the near term and only expect a very slight improvement in the revenue trend in the fourth quarter. In the Nordics, revenues declined 15% on a days-adjusted constant currency basis. The two primary businesses in the Nordics are Norway and Sweden. On a days-adjusted constant currency basis, Norway experienced a decline of 11% and Sweden declined 21%. Both countries experienced a significant improvement in the rate of decline from the second quarter trend. Revenue in the Netherlands decreased 23% in constant currency which represents a very slight improvement from the second quarter trend on a days-adjusted basis. Belgium experienced a days-adjusted revenue decline of 29% in constant currency during the quarter which reflects significant improvement from the second quarter trend. Other markets in Northern Europe had a revenue decrease of 5% in constant currency. This reflects significant improvement from the second quarter. The Asia Pacific Middle East segment comprises 13% of total company revenue. In the quarter, revenue decreased 6% in constant currency to $596 million. The APME region continues to perform relatively well during this crisis. Excluding restructuring charges and prior year gain on the China IPO, OUP margin decreased 90 basis points. All of the $1.5 million of restructuring costs involve Australia where we continue to simplify the business after exiting certain low margin staffing clients. Revenue growth in Japan was up 5% on a constant currency basis and, after adjusting for billing days, this represented a 6% growth rate which was equal to the growth rate in the second quarter. Our Japan business continues to perform very well and we expect a revenue trend of flat to low single digit growth in the fourth quarter. Revenues in Australia declined 7% in constant currency on a days adjusted basis. This represented a significant improvement from the 21% decline in the second quarter as we anniversaried the exiting of certain low margin business. Revenue in other markets in Asia Pacific Middle East declined 10% in constant currency. I’ll now turn to cash flow and balance sheet. Free cash flow equaled $685 million for the first nine months of the year. This compared to underlying free cash flow in the prior year of $356 million after excluding the sale of the France CICE receivable. During the third quarter, free cash flow equaled $108 million compared to $206 million in the prior year quarter. At quarter end, days sales outstanding decreased by about three days. Collection activities continue to be one of our top priorities. Capital expenditures represented $31 million during the first nine months of the year. We did not purchase any shares of stock during the third quarter and our year-to-date purchases stand at 871,000 shares of stock for $64 million. As of September 30, we have 5.9 million shares remaining for repurchase under the 6 million share program approved in August of 2019. Our balance sheet was strong at quarter-end with cash of $1.59 billion and total debt of $1.09 billion, resulting in a net cash position of $500 million. Our debt ratios remain comfortable at quarter-end with total gross debt to trailing twelve months EBITDA of 2.21 and total debt to total capitalization at 29%. Our debt and credit facilities did not change in the quarter and the earliest Euro note maturity is not until September of 2022. In addition, our revolving credit facility for $600 million remained unused. Next, I'll review our outlook for the fourth quarter of 2020. Our guidance continues to assume no material lockdowns impacting economic activity in any of our largest markets. On that basis, we are forecasting earnings per share for the fourth quarter to be in the range of $1.06 to $1.14, which includes a favorable impact from foreign currency of $0.03 per share. Our constant currency revenue guidance range is between a decline of 10% to a decline of 12%. The mid-point of our constant currency guidance, a decline of 11%, also reflects the organic days-adjusted rate of decline as billing days for Q4 are only very slightly higher year-over-year and the impact of net dispositions is also very slight. This represents an improvement of about 4% from the organic days adjusted constant currency decline of 15% in the third quarter. We expect our operating profit margin during the fourth quarter to be down 130 basis points compared to the prior year. This reflects continued strong cost actions but at lower levels of year-over-year SG&A reductions as activities levels progressively increase. We expect our income tax rate in the fourth quarter to approximate 39% which continues to reflect an outsized impact of the French Business Tax effect that I discussed in previous quarters. Late September, the government of France issued their preliminary budget for 2021. France is planning to reduce the French Business Tax, known as CVAE, by 50% in 2021. If the budget is approved as drafted, this would improve our pre-crisis level global effective tax rate by 3% to 3.5%. This improvement in the effective tax rate would be partially offset by higher compensation costs attributed to profit sharing schemes in France. Additionally, France has indicated that they will continue with their multi-year corporate tax reform schedule which is expected to separately reduce the France corporate tax rate by about 3% next year and the impact to the consolidated effective tax rate is a reduction between 50 and 75 basis points. I will give a further update on the anticipated impacts from these items at our fourth quarter earnings call after the French budget is formally approved by their government. As usual, our guidance does not incorporate restructuring charges or additional share repurchases and we estimate our weighted average shares to be 58.6 million. I will now turn it back to Jonas.
Jonas Prising: Thank you, Jack. We are very well-positioned to leverage the lasting legacy of the pandemic. New work models with more flexible and remote work, more focus on health and wellbeing, greater use of technology and faster changing skill shifts, and the need for strategic and operational workforce transformation, at scale and speed. Let me also say how incredibly proud I am of the critical work our talented teams have provided by helping people and companies around the world respond and reset following these unprecedented crises. From redeploying and reskilling catering and hospitality workers to new roles in in-demand sectors like logistics, virtual customer service and pharmaceuticals, to redeploying financial programmers to install and program COVID testing robots, and providing the skilled IT talent, lab technicians, and skilled workers for PPE production. We have remained steadfast in our purpose and committed to providing our clients, candidates and our communities around the world with skilled talent and meaningful employment, all with health and safety at the center. And I thank all of our people for their expertise, professionalism and dedication when so many of them are managing their own personal challenges in these unprecedented times. We can be certain too that helping people adapt from declining industries and jobs to growth sectors and future proof roles will be critical in this next normal. And it will be the responsibility of business, government and educators to support people with swift, targeted upskilling programs so that value creation is shared with the many, not just the few, for the benefit of us all. At ManpowerGroup we are fully committed to being part of the solution and the actions we are taking to digitize, diversify and innovate will position our company for further success in 2021 and beyond. I would now like to open the call for Q&A. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question came from the line of Andrew Steinerman of JPMorgan. Your line is now open.
Andrew Steinerman: Hi, it's Andrew. hoping this isn't an implied question but so Jack when you started talking about fourth quarter guide, you said no material lockdowns impacting economic activities is your assumption. And so my question is, what did you mean by that? Did you mean that the lockdowns don't get worse or that the current lockdowns aren't having a meaningful impact on economic activity? Like for example, French economist is expecting zero real GDP in France in the fourth quarter. How does that square with the assumption that you're making, assuming, again worst lockdowns or current lockdowns are not having an impact?
Jack McGinnis: I would say what really, it's the latter the current lockdowns, we are obviously talking with our French business and analyzing the impact of the current lockdowns, but on our business specifically the current lockdowns are not having a significant impact. So our business is continuing. There are adopting to the new restrictions in place. And it's not currently having an impact in terms of the way we're looking at the current trends and the way we've done our guidance. So I'd say it's been factored in. What we're really trying to say is, we're not seeing any additional changes beyond that, really, we're getting at, the more towards the risk of more country wide lockdowns. And that's the risk that we don't have incorporated into our guidance, but it is incorporating the current restrictions that we are operating within our countries today.
Andrew Steinerman: That's super clear. And can I just add on when you when you talk about fourth quarter, France being down 10 to 15%, for the fourth quarter guide, is that what you're already seeing in October?
Jack McGinnis: Yes. Trend reflects what we're seeing in October, I think, Well, Andrew, in terms of our analysis of France, we did indicate great improvement in the third quarter, but the rate is slowing down. So we are seeing a slowing rate and our guidance incorporates that that will continue to improve. But at the level now, which is a slower rate of improvement, but that's what we're anticipating in October, reflects a slightly better trend than we saw in September.
Operator: Thank you. And our next question came from the line of Manav Patnaik of Barclays. Your line is now open.
Manav Patnaik: I just had a broader question. I think earlier in the call, Jonas talked about, attempting a flexible option for an uneven recovery. I was just wondering in terms of that fine line of uncertainty, like, what are you hearing from your employers right now, in terms of their plans of scaling up, versus just waiting it out to, I don't know, another year or so.
Jonas Prising: What we're hearing from our clients today is that, they're seeing their activities return, but their horizon in terms of how long, how durable and to what degree that improvement is likely continue means that they are very interested in operational flexibility. And I think that's exactly reflected in our Q3 results, which was a faster recovery than we had anticipated. And as Jack just as indicated, of course, looking ahead, we expect that rate of improvements to continue, although at a slightly slower rate. And that is very consistent with what we tend to see in recoveries after recessions, where our services and solutions are in high demand, as the operations are improving, the demand is improving, but there's a degree of uncertainty, that means that employers are really favoring our services. And to that I would add, what was very encouraging also in Q3 is to see the quite significant improvement in our permanent recruitment numbers that moved up quite significantly down from a minus 43%, in Q2, up to minus 27%, in Q3, and we saw that reflected also in on our RPO operation. So companies are clearly not only looking for contingents of staff to help them but also starting to want to employ some people also on a permanent basis. And we think that's a trend that will also continue going into the fourth quarter.
Manav Patnaik: Got it. That's helpful. And throughout the call, there was a lot of real estate optimization, I guess, globally, you've done a lot of that. You've done this over the past years as well, was this current wave more a factor of work from home or lack of activity? Or maybe ask now that way, how much of this is permanent? And how much do you maybe ramp up when things get back to normal?
Jonas Prising: Well, you could hear me say in the prepared remarks that we've had some learnings from the pandemic. And I would say, our confidence in our strategy around real estate optimization that you've seen us do over many years now, is really reaffirmed by what we're seeing and living under here. During the pandemic. We can operate and run our business very effectively on a remote basis. Now, whilst we don't anticipate that we'll be going fully remote and we believe that the there is great value in our last mile delivery capabilities through our office network. What's also clear is that with the help of process change, supported by technology, we can do our work in different ways. And we anticipate that will accelerate in terms of what our candidates are accepting and wanting to see as well as what our clients are expecting and wanting to see, which will give us further opportunities for real estate reviews. And you're seeing some of the early signs of that in the third quarter.
Operator: Thank you. And our next question came from the line of Hamzah Mazari of Jefferies. Your line is now open.
Hamzah Mazari: Jonas, I think you've talked about a two-speed recovery in your prepared comments. Could you maybe talk about how much of your business is levered to faster growth versus industries that may take a while to recover, travel, leisure, et cetera?
Jonas Prising: Yes, our exposure to the most heavily negatively impacted industries is very low. Because we're not really represented in the hospitality industry, aside from some countries. So at large, I would say we're better positioned on the fastest growing industries, rather than those most heavily impacted by the pandemic.
Jack McGinnis: And I would just add on to that Hamzah. I think maybe a little bit more detail in terms of the sectors. So I would say manufacturing to Jonas's comments is about core manufacturing is probably about 40% of our business today. Within that we've talked about auto being in the range of around 7%. Currently, food and beverage has been very strong that's about 7%. Pharma within that is about 6%. Manufacturing of computers and electronics about 6%. So, all other manufacturing about 14% of that 40. I'd say logistics, transportation and storage is about 8%. That's been very, very strong. Construction is about 5%. So it gives you a little bit of flavor on some of the manufacturing sectors. I think on the communications that's been very strong for us, that's about 10%. Financial services and insurance is about 5% to 10% for us as well. So it gives you a bit of a feel. And as Jonas said, our exposure to hospitality and tourism is very, very small.
Hamzah Mazari: That's extremely helpful. And just my follow up question, I'll turn it over. Could you maybe talk about the furlough dynamic this employment cycle, and then how you see that impacting temp growth? Historically, your business coming out of a downturn, recovered as quickly really as it went down? And so just any thoughts high level as to the furlough dynamic? I know you provided Q4 guidance, but sort of just a longer term question on this dynamic. Thank you.
Jonas Prising: We think that furlough dynamic that we've seen during this pandemic has a short-term positive effect in terms of keeping people on the payroll. And frankly, from our perspective, it's something that we've been able to use as well to maintain our productivity levels as high as possible as activity went down better then, of course, also provided us with the opportunity to ramp up quickly, once we saw demand pick up again. So from that aspect, it's been positive. In terms of structural change long-term compared to other recessions, we don't really think that this will play in any significant way, have a timing effect, where companies are bringing back furloughed workers first, but if so, we think it's going to be just a lag effect in some countries. And frankly, we have not seen that so far be a factor in the speed of recovery, matching the pickup of demand that we've seen with our clients.
Operator: Thank you. And our next question is from the line of Jeff Silber of BMO Capital Markets. Your line is now open.
Jeff Silber: Jonas, you just touched upon my question a little bit in your answer, but I wanted to drill down a little bit further. You talked before about how your customers are dealing with their own staffing requirements in terms of the rebound. Can you talk about your own internal staff where that stands now, relative to pre-pandemic? And are you expecting to increase that over the next few quarters?
Jonas Prising: I will let Jack talk about some of the numbers but specifically, in terms of government assisted furlough programs, by and large, we're now out of the usage of those in most countries with the exception of Germany, but we expect to fade out of those programs over the next two quarters. And as I mentioned in my response to Hamzah, what we've done is, is really used those programs to mitigate the drop in demand during the depths of the pandemic. But then very quickly bring people back onto our rolls. And we saw productivity, maintain, and then move up so we could meet the demand. But Jack, maybe a few more aspects to that.
Jack McGinnis: Yes. Jeff, I'd be happy to give you a little more detail around that. So at the end of September, if you look at our FTE year-over-year, we're down about 11%. And I would say put that in context that is lower than it was at the end of June. At the end of June, we were down about 18%. So, as I talked about, when I talked to the trends in our SG&A, we have been bringing people back based on the increased demand that we've been seeing in our businesses. And our guidance in Q4 continues to anticipate that. Now with that being said, if there is, any changes to the trajectory, we'll make adjustments accordingly. But we are continuing to manage our FTE very carefully. I think separately, we talked through the restructuring actions we've taken this quarter that will reduce some more FTEs permanently, based on that we've talked a lot about the real estate actions we've taken as well, that will go a long way reducing some of our fixed costs as well. But hopefully that gives you a bit of a flavor on where we are in FTEs.
Jeff Silber: Yes, that's actually extremely helpful. And for a follow-up, also in your prepared remarks, you talked a bit about what was happening towards the end of the quarter and the beginning of this quarter in France. Are there any other major trends that you can highlight some of your larger countries in terms of how you ended 3Q and how 4Q has begun?
Jonas Prising: Yes, sure. I would say the trend in France is pretty similar to what we've seen and I'd say, our top three countries. U.S., we saw a nice steady improvement over the pace of the third quarter. We're seeing that improvement continue here into early October. But I'd say the comments about slowing, that applies to the U.S. as well. So great improvement during the third quarter. But that trend of improvement continuing but slowing and that's factored into our overall guidance. I would say the same for Italy, very, very strong improvement. And we see trends in October that indicate continued improvement into the fourth quarter. I would say on the U.K., it's been a bit more sluggish, the U.K. has not seen the same level of improvement. I don't think that's, I don't think that's a surprise based on some of the data on the U.K. and some of the uncertainty in that market currently. And then I would say, the other large country would be Japan, which is continuing to see phenomenal growth in a very difficult environment. So I'm very pleased with their growth in Q3. And we anticipate good performance in the fourth quarter as well, although slowing a little bit, but we still anticipating closer to flat to very slight Japan. So that's what I would say in terms of the top five countries.
Operator: Thank you. And our next question is from the line of Mark Marcon of Baird. Your line is now open.
Mark Marcon: I was wondering if you could drill down a little bit in the U.S. in terms of coming off of the bottom, just comparing and contrasting the recovery in terms of Manpower brand versus Experis and how the trends have unfolded? And what you're seeing now and how you think that plays out over the coming quarter? And then I have a follow up. Thank you.
Jonas Prising: Good morning, Mark. Yes, we saw good recover in Q3 with really a quick improvement from the -35% decline in Manpower. So, we as Jack just indicated expect to see a continued improvement into Q4 but at a slower rate. Talent solutions really came back very strong. And you heard us talking in our prepared remarks about the strength and right management from an outplacement perspective, from an MSP perspective, continued good growth and a very, very strong rebound from RPO that now is at a much better position with a very strong pipeline that we expect to continue to perform very well for us into the coming quarters. And then, Experis, as we had expected, could still see some overhang from some enterprise clients and projects. And we talked about this in the Q2, but overall performing to our expectations with more opportunity, as we look ahead there as well.
Mark Marcon: To be honest, can you can you talk a little bit more about Experis just in terms of how the monthly trends have unfolded? And have you kind of hit a bottom there and it's starting to bounce back? Or should it stay at these levels? And to what extent is that primarily driven by specific clients that you have exposure to relative to what you would anticipate, the overall industry is doing in terms of whether it's IT or F&A?
Jack McGinnis: Hey, Mark. I can add a little more detail on that. So I'd say, looking at Experis, we went from -12%, in Q2 to -16.5% constant currency in Q3. So, what we said at the end of Q2, as we were starting to see select enterprise clients there was some slowdown, mainly due to some projects that were expiring, some of that was actually COVID-19 related projects. And we saw that as we exited the second quarter, and we anticipated that that would run through the third quarter and pull the rate down a bit. So that was anticipated I would say it really is select clients. I would say that that work was lower margin in the scheme of things. Experis U.S. actually expanded their GP margin in the third quarter year-over-year, which was great to see. So margin is holding up very, very well in the Experis business. And I would say what we're seeing now going into the fourth quarter, it's holding pretty steady. And so I think, our anticipated guidance for the U.S. for the fourth quarter is steady improvement and we're expecting a slight improvement in Experis as well.
Mark Marcon: Great. And then from a longer term perspective. Can you talk a little bit about the anticipation in terms of -- you mentioned the lockdown activities in France? Is it your general expectation that the lockdowns will be targeted across all of Europe in the same manner and how you're thinking about that? And then specifically in France, Jack, can you talk a little bit more about the French tax rate in ‘21, because that seems like a real positive.
Jonas Prising: Mark, what we're seeing across Europe are different forms of lockdowns, depending on the country you have seen, Ireland just implement a pretty significant lockdown posture for the next two weeks. But overall, we believe that the governments are trying to [Technical Difficulty] targeted social distancing lockdown measures today to avoid having to resort to the more wholesale material lockdowns that we saw in the spring, because they were very damaging to the economy. And based on what we've seen and I just came back from a long trip in Europe visiting all of our major markets, all governments have indicated that there is their desire is not to return and their intent is to do everything possible not to return to the wholesale lockdown approach that they had in the spring, but rather affect the spread of the virus by controlling, the socializing aspects that appears to be the main source of the spread of the disease by shopping, bars, reducing hours when people socialize outside of their home, and things like that. So that's really what we're expecting. And I think it is reasonable unless things take a dramatic turn for the worse across the continent that that's what we'll see in most major European economies.
Jack McGinnis: And Mark on the CVAE or the French business tax, I think, I guess the way I would phrase that is, it's easier to put it in perspective when you think about our pre-crisis, effective tax rate. And so we've talked about a pre-crisis effective tax rate around 34% that was our original guide for 2020 before the crisis. And you know that the French business tax has an outsized impact, and we've been obviously above that rate. But if you think about that, 34% we've always said the French business tax is about 6% to 7% of the 34%. It really has a significant impact on our global effective tax rate. And, the French government's indication that they're looking to reduce that by 50%. But think of that 6% to 7% will really be reduced by about 3% to 3.5%. And so that's a good way to think of it. I think as we are operating here in 2020 at reduced levels of profitability, the French business tax has temporarily had an outsized impact. So that's been much greater than the 6% to 7%, this year that we talked about in previous quarters, although it is improving. So as we go forward, I would think that reduction is going to help that outsized impact and it will lower our effective tax rate if it's approved as currently drafted.
Operator: Thank you. And our next question is from the line of Kevin McVeigh of Credit Suisse. Your line is now open.
Kevin McVeigh: Hey, Jack or Jonas, give us sense of just the trends in the gross margin. It seems like the professionals been stronger than maybe some of the lesser skills, but it seems like the margins year-on-year is obviously still some pressure there, maybe help us understand what's driving that.
Jonas Prising: Yes, Kevin. I'd be happy to. I actually wouldn't say that. I would say that margin is held up fairly well, overall, this year. And that actually has been a positive due to what we've been seeing in terms of the staffing margin in our businesses. And you can see on the GP bridge, that staffing margins actually held up quite well. And we've seen that pretty consistently over the last couple of quarters. We did call out we did have a positive benefit from some direct cost accrual adjustments and we put that to the side in our GP margin walk. But I would say on both the Manpower and the Experis business, we've actually seen pretty stable margin from -- we've acknowledged the shift to the enterprise client. But I think in the scheme of things, if you look at our staffing margin, it's actually held up very well year-over-year. So I would say when we look at our -- some of our largest countries, the U.S. margin has gone up year-over-year GP margin, Japan has gone up year-over-year, Canada, France has gone up year-over-year. So we're seeing actually pretty stable conditions from -- in terms of the trend that we're seeing going into the fourth quarter on some of the staffing margin.
Kevin McVeigh: Got it. And then, just check any thoughts on buybacks [indiscernible] the quarter? Would you feel comfortable kind of reengage in or how you thinking about that?
Jonas Prising: Yes. I guess, Kevin, I'd say when it comes to capital allocation, our strategy has not changed. I think looking back at -- when we ended the last quarter, we were pretty open that we were still early on in the recovery. And we're very focused on the balance sheet and balance sheet strength. I think as we sit here today, I would say we have a very, very strong balance sheet. We're very well positioned. And we don't pre-announce share repurchases, but you could expect that we'd be very focused on capital allocation in the fourth quarter. And I'll leave it at that.
Operator: Thank you. And our next question is from the line of George Tong of Goldman Sachs. Your line is now open.
George Tong: You talked about seeing a relatively uneven recovery across businesses in geographies. Can you provide constant currency revenue trends by month during the quarter and in October to-date for the overall company as well as your largest markets; France, Spain, the U.S.?
Jack McGinnis: Yes, George. This is Jack. I guess, I'll help you a little bit on that. I think in terms of the monthly trends, we did add some of that detail last time. But I guess with the improvement that we've seen and with the guidance we did pull back on some of that just to limit the time of our prepared remarks. But what I would say, if you look at the quarterly trend during the course of the quarter, we would start on a consolidated basis. July was probably about minus 19%, organic days adjusted. August and September, were both around -13%. I think, August is always a little bit of a funny month due to the holidays. So I wouldn't read anything into that trend. I think the main trend is we started at -19% and we ended a closer to -13%, -13.5% on an ADR basis. So good, underlying improvement over the course of the quarter overall. I'd say in October on an overall basis, I think we gave an indication of what we were seeing in our largest businesses as part of our prepared remarks. I guess what I would say is you should expect that that -13.5% that we saw for the month of September, we'll see slight improvement going into October. And that gives you a pretty good idea of what we're looking at currently.
George Tong: Got it. That's helpful. And then, on the margin side, you talked about funding investments, while exercising cost controls. Can you elaborate on what your investment spending initiatives look like for 4Q as well as what's already baked into guide?
Jack McGinnis: Yes, George, I'd say, first and foremost, we've been very consistent in discussing our technology initiatives. So we continue to spend on technology, we've talked in the past regarding our power suite initiatives, those are going very well, we're making a lot of progress. Those continued, we have not slowed those down. So that continues to be in our cost base. I would say, as we continue to look at where we're spending, we are positioning ourselves for the growth. So where we're seeing, good increases in demands and kind of going back to my comments regarding FTEs coming back into the business. We are investing in the business and specifically in terms of where we see the most demand. We've talked about our Experis business in the past, we continue to make those investments in those markets, where there is strong demand and we're seeing good progress. So that is part of what is incorporated into our fourth quarter guidance as well. And I would say that would follow what you would expect in terms of the progress we're seeing in our largest markets. That's where you should expect there is some incremental investment happening in those areas where skills are in demand.
Operator: Thank you. And our next question is from the line of Seth Weber of RBC Capital Markets. Your line is now open.
Seth Weber: Hey, Jack, just following up on that last answer and tying together a couple of your prior answers just on capital allocation. A lot of discussion around building out the digital, capabilities, you're sitting here with a net cash balance sheet. Can we expect that there might be some more M&A on the digital side to enhance that part of the business? Is that an option that you're considering as well, in addition to repo?
Jack McGinnis: Yes. I guess I would say that that's really what we were talking about, when we were saying the strategy really hasn't changed. I think we've been very open that we continue to look at our capital allocation strategy, we have a very good track record on share repurchases. But we also -- we've talked about the fact that as part of our diversification. We do keep an eye out for potential acquisitions where they make sense. Now, with that being said, we've also -- we always have been very careful in that regard. And we were focused on the opportunities from a professional staffing side, as well as from a solution side. So that's really unchanged. And that is something that we continue to have as part of our overall strategy and capital allocation. And if there isn't an acquisition, then you should expect that we would continue to look at share repurchases as a vehicle to return cash to our shareholders.
Seth Weber: Okay. And then just a follow up on the Talent Solutions. It sounds like there's some good trends going on there. Is that all U.S. or are you starting to see many more traction internationally on that side of the business?
Jonas Prising: Well, Seth, we're certainly seeing it in the U.S., but we really seeing it also across the world, maybe to a lesser degree at this stage. But we feel very good about the positioning. And as you heard in our prepared remarks, we've been recognized as the global leader in TAPFIN and our pipeline looks strong on that slide RPO was coming back strong and of course, right management has also had a very good quarter within especially the career transition offerings. So we feel good about Talent Solutions as a whole in our positioning there. And it's really tying back to what Jack just said around diversification and how we feel good about our strategy around diversification and that it's really benefited us and it's come back strong here in the third quarter and we hope to continue to see some good improvement also into the fourth quarter.
Jack McGinnis: The only other color, I'd give on that Seth is, right management, the majority of that increase was in the U.S. So the U.S. is the market where we've seen the outplacement activity that has not transpired in Europe. So when we think about the increase in right management that we talked about majority of that fell in the U.S. And that was part of that 30% increase in right management in the U.S. that I referred to earlier.
Operator: Thank you. And at this point, we don't have any more questions on queue.
Jonas Prising: Great. Thank you. That brings us to the end of our Q3 earnings call. We look forward to speaking with all of you again for our fourth quarter earnings call in January. Thanks everyone, and have a good rest of the week.
Operator: Thank you. And this does conclude today's conference call. Thank you all for participating. You may now disconnect.